Operator: Good morning and welcome to the Air Products’ Second Quarter Earnings Release Conference Call. Today’s call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today’s call is Mr. Simon Moore. Please go ahead, sir.
Simon Moore: Thank you, Jess. Good morning, everyone. Welcome to Air Products’ second quarter 2022 earnings results teleconference. This is Simon Moore, Vice President of Investor Relations, Corporate Relations and Sustainability. I am pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Dr. Samir Serhan, our Chief Operating Officer; Melissa Schaeffer, our Senior Vice President and Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we will be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. This discussion contains forward-looking statements. Please refer to the forward-looking statement disclosure that can be found in our earnings release and on Slide #2. In addition, throughout today’s discussion, we will refer to various financial measures. Unless we specifically state otherwise, when we refer to earnings per share, EBITDA, EBITDA margin, the effective tax rate and ROCE both on a company-wide and segment basis, we are referring to our adjusted non-GAAP financial measures, adjusted earnings per share, adjusted EBITDA, adjusted EBITDA margin, adjusted effective tax rate and adjusted return on capital employed. Reconciliations of these measures to our most directly comparable GAAP financial measures can be found on our website in the relevant earnings release section. Now, I am pleased to turn the call over to Seifi.
Seifi Ghasemi: Thank you, Simon and good day to everyone. Thank you for taking time from your very busy schedule to be on our call today. I want to begin by saying a few words regarding Air Products’ response to the current situation in Eastern Europe. We are deeply concerned by the human tragedy in Ukraine and the impact that this conflict has on the world. We condemn this aggression and encourage all efforts for peace. Our hearts go out to those affected and we are continuing to support our employees in this region. As a company, we are providing humanitarian support, including assistance to the International Committee of the Red Cross from the Air Products Fund Foundation. Our employees have also responded with care and generosity, reaching out to their affected colleagues and making contributions to various organizations supporting relief efforts. Our presence in Ukraine is minimum with about $5 million in sales last fiscal year and we have suspended the development of a small air separation unit in the country. Our business in Russia is also very small, with less than $25 million in sales last fiscal year. We are in the process of exiting Russia and will stop doing business in that country. Now, before we get into the details, I want to thank each and every one about 20,000 employees around the world for their hard work, commitment and dedication to operational excellence and to serving our customers. Last quarter, despite the very difficult conditions caused by war, significant inflation in energy costs, supply chain disruptions and lingering effects of the COVID-19 virus, our people delivered strong results with an earnings per share of $2.38, which is 14% higher than the previous year. As always, our people’s commitment and dedication is our competitive advantage as we move forward. Now, please look at Slide #3, focusing on safety, which is our highest priority. Our second quarter safety performance was similar to last quarter, but still behind last year. Although we are proud of the fact that we have made significant progress in this area over the past few years, this result is not acceptable. Our goal remains zero accidents and zero incidents and we are committed to achieving that goal across the organization. Slides #4 to #7 include our goal, our management philosophy and our five plans for moving forward. And we have also included our higher purpose slide to explain what we are trying to do everyday when we come to work. We have shared these slides with investors many times before, but we always have them as part of our package to emphasize the point that these are the principles that we will follow everyday and they will continue to guide us as we move forward. As we have explained to our investors in the past, our strategy for moving forward is based on two pillars. The first is absolute excellence in running our existing industrial gases business. That is to operate with the greatest efficiency and productivity, invest and maintain our market share, and improve pricing to compensate for inflation. Our results that we have just announced confirm that we are successfully implementing this strategy, since we are delivering strong results under very difficult and challenging circumstances. The second pillar of our strategy for the future is to take advantage of our unique technologies and expertise to be a meaningful player in the significant worldwide effort to transition to clean energy. Specifically in this area, we are focused on developing and executing mega projects to produce bloom and green hydrogen and other sustainable fuels for the world. In summary, this explains the content of the almost $20 billion of projects that we have in our backlog and there are more of these projects to come. In the second quarter of fiscal year ‘22, we announced projects that confirm in a significant way our commitment to these two strategic pillars. First, in our base business, as you can see on Slide #8, we announced $1.3 billion of investment in two major projects for the electronic industry. These are real mega projects with long-term take-or-pay contracts with some of the largest semiconductor manufacturers in the world. We are proud to be executing these projects that confirm our significant position in the semiconductor industry. As related to the second pillar of our strategy, as you can see on the Slide #9, we announced that we are building a $2 billion facility in Southern California to convert a conventional refinery to one that produces sustainable aviation fuel called SAF. This facility will use as its raw material renewed organic material such as base cooking oil, animal fats, etcetera and use substantial amount of hydrogen to convert these raw materials to fuel for airplanes. The total capacity of this plant will be approximately 340 million gallons per year. Although this sounds like a big number, in 2019, world jet fuel consumption was more than 100 billion gallons. The world airlines are looking to decarbonize. Major corporations in the world are focused on reducing the carbon emissions generated by their airline business travel. And there are already significant incentives in place to encourage the move towards sustainable aviation fuel. This is the fundamental reason aligned with our strategy to pursue this opportunity. We started developing this project 3 years ago in partnership with World Energy, a private company that is currently the leading producer of sustainable airlines yield. Our agreement is that Air Products will engineer, build and own the facility and World Energy will provide the raw material. World Energy will also sell the project – the product and has a contractual commitment to pay Air Products at fixed fee that ensures an acceptable return on Air Products investment. We are very excited about these projects since it also uses a significant amount of hydrogen that we can supply from our established and extensive hydrogen pipeline in Southern California. Our partner in this project, World Energy, is a private company. So I know and fully appreciate that there is little information available about them in the public domain. We have permission from the principles of the company to disclose the following information, which can be found on Slide #10. This information is self-explanatory and we are delighted to work with World Energy on this great project. I’d just like to point out that on the bottom of Slide #10 we have included sales and profitability numbers, $400 million sales and $54 million of profit. That is just for the products that World Energy sells out of the Paramount refinery that we are converting today. In addition to that, World Energy has the capacity in their other plants in America and Canada to produce 150 million gallons a year of bio-diesel. The sales number and profitability of those numbers are not disclosed. I also want to report to you at this time that we continue to make good progress in building and bringing on stream key mega projects that we have already announced. Slide #11 highlights the major projects that we expect to bring on stream in 2023. Now, I would like to take a moment to reflect on our performance over the past 8 years. In July 2014, during my first conference call with investors as Chairman, President and CEO of Air Products, I promised the shareholders that our goal was to deliver over the long-term a 10% per year average cumulative growth in Air Products earnings per share. On Slide 12, you can see that for the past 8 years, we have delivered more than what we promised 8 years ago. And our goal for the future is to continue to deliver similar results as we move forward. On Slide 13, you can see that we have shared the positive growth with our investors and increase our dividend on average 10% per year over the last 8 years. And finally, please turn to Slide #14, still my favorite slide. It shows our EBITDA margin since 2014. Despite all of the turmoil in the board, significant energy, cost inflation and supply chain disruptions, our EBITDA margin last quarter was almost 1,000 basis points higher than in 2014. Now, it’s my pleasure to turn the call over to Melissa to discuss our results in more details. Melissa?
Melissa Schaeffer: Thank you, Seifi. As Seifi mentioned earlier, we are executing our growth strategy and supporting our base business at the same time. We expect the large projects to drive our long-term growth, while our base business continues delivering near-term results. Both large projects and base businesses contribute to our fiscal second quarter results. The Jazan joint venture that started up during Q1 provided a full quarter of benefit, consistent with our commitment of $0.80 to $0.85 per share on a full year basis. Our pricing actions also contributed with gains exceeding variable cost increases this quarter. The outperformance was particularly noteworthy in Europe, where we experienced the most significant energy cost pressure. I want to express my thanks to the team for their speed of execution and a job well done. Now, please turn to Slide 15 for our second quarter results. Energy costs remained elevated this quarter. And our teams continue to implement significant price actions in response to the unprecedented search. The 6% total company price increase translating 13% increases in price for the merchant business. This is our second consecutive quarter of double-digit price gain across our merchant business. Volume was also strong, increasing 8% overall, up in all segments, driven by the new assets, hydrogen recovery, strong merchant demand and increased sales of equipment activity. Pricing volume combined, were up 14%, accounting for most of the 18% sales increase compared to last year. EBITDA increased 9%, our third consecutive quarter exceeding the $1 billion mark as favorable volume, prices and equity affiliate income more than offset higher costs. EBITDA margin declined 270 basis points from the prior year as the negative impact of higher costs in energy pass-through more than offset higher equity affiliate income. Higher energy pass-through lowered margins by about 200 basis points. Sequentially, volumes were down 3% primarily due to lower higher volumes on specific customer operational actions and the leaner . Operating income was up 7%, driven by favorable rates and costs. However, EBITDA was up 2% and net income was down 5%, primarily due to the  related to the finalization of our previous Jazan-ASU joint venture, which was the benefit last quarter. ROCE was 10.6%. We currently have significant cash on our balance sheet, which will support the major projects we have announced. Adjusting for this cash, our ROCE would have been 13.7%. We expect ROCE to improve as we deploy the cash in the current environment on stream. Now, please turn to Slide 16. Our second quarter adjusted EPS was $2.38, which is $0.30 or 14% above last year, the fourth consecutive quarter of double-digital year-over-year revenue growth and a testament to the stability, resilience and growth of our business model. Volume was favorable at $0.18 and price net of variable cost was $0.14 as our price actions more than offset the unprecedented energy cost increases. For the quarter, our price actions alone before netting against variable cost contributed around $0.50. Our other costs are higher due to the combination of investment for future growth, planned maintenance and external factors. One example that we have invested in is our helium storage caverns to help provide reliable helium supply to our customers globally. This investment increased our cost now, but we expect to generate significant value from this investment in the future. We also see higher cost as we increased resources prior to bringing projects on stream. For example, we have hired approximately  people, who will be responsible for operating the GTL gasifier complex once it comes on stream next year. These purposeful strategic actions begin to ensure the long-term success of our company or responsible for roughly half the total increased cost this quarter. The remaining half was primarily external factors attributable to inflation and supply chain challenges across the region. We remain focused on driving productivity across our business. The Jazan joint venture contributed its first full quarter of results and continues to deliver as expected. Our share of the results from the projects, are reflected entirely in equity affiliate income this quarter and will be going forward. I realized this is an updated accounting interpretation and it’s slightly different than we discussed last quarter, but we believe this approach will be clearer for our investors moving forward. There is no difference to the bottom line EPS. The project continues to deliver as we expected. Overall, for the quarter, equity affiliate income was $0.18 higher driven by our share of the joint ventures profit. Our second quarter effective tax rate of 18.6% was 160 basis points lower than last year, including the favorable impact to Jazan. We expect our tax rate to be between 19% and 20% for the remainder of this fiscal year. Non-operating income is $0.03 lower driven by higher pension expense. Now please turn to Slide 17. The stability of our business continues to allow us to generate strong cash flow despite the challenging geopolitical and energy environment. Over the last 12 months, we generated around $2.8 billion of distributable cash flow or nearly $12.70 per share from our EBITDA of over $4 million in interest, taxes and maintenance capital expenditures. Note that our maintenance capital is a little higher than usual driven from higher spending on our new global , which is nearly complete. From the distributable cash flow, we paid over 45% or over $1.3 billion as dividends to our shareholders and still have about $1.5 billion available for high returns level. This strong cash flow, even in uncertain times, enables us to continue to create shareholder value through increasing dividends and capital deployment. Slide 18 provides an update on our capital deployment. We continue to make great progress in developing, announcing and executing on our major growth markets. In fact, we see potential opportunities significantly greater than the investment assay we show here. As you can see, our capital deployment potential is over $34 billion for fiscal 2027. $34 billion includes about $8 billion of cash and additional debt capacity available today, over $16 billion we expect to be available by 2027 and almost $10 billion already spent. We still believe this capacity is conservative given the potential for additional EBITDA growth, which would generate additional cash flow and additional filing of taxes. We will continue to focus on managing our debt balance to maintain our current targeted . So you can see we have already said 29% in our already committed 74% of the updated capacity we show here. We have made great progress and still have substantial investment capacity remain in business in the high return project. We continually evaluate our levels  and determine the best way to use available cash entrusted to us by our shareholders. We believe that investing in these high-return projects is the best way to create shareholder value in the long run. To begin the review of our business segment results, I will turn the call back over to Seifi. Seifi?
Seifi Ghasemi: Thank you, Melissa. Now please turn to Slide #19 for our Asia results. Sales were up 8% compared to last year, primarily on 6% higher volume as a variety of new traditional industrial gas plants came on stream across this region. Price was again positive. The 1% overall price improvement for the region equals to about a 3% increase for the merchant business. China’s dual control policy has eased, but COVID restrictions in parts of China have modestly impacted customer demand. They also impacted our plant efficiency and increased our supply chain costs.  Costs that are unfavorable and favorable, primarily due to inflation and resources needed to support new project start-ups, as Melissa mentioned. EBITDA was up 2% as better volume and price more than offset higher costs. Compared to last quarter, volumes declined 2% primarily due to the Lunar New Year holiday. Price was 2% lower sequentially. As mentioned during our last earnings call, China’s government has relaxed its power tariff program to allow local power costs to fluctuate. This market-oriented approach has resulted in higher power costs compared to last quarter. However, our overall costs were lower due to better operating and supply chain efficiencies. Our EBITDA was down 9% sequentially, and EBITDA margin decreased 60 basis points as the unfavorable volume and price more than offset lower costs. For the second half of the fiscal year, we are very concerned about the potential impact of the COVID-related restrictions in China, and we do expect higher planned maintenance activities. Now I would like to turn the call over to Simon to talk about the European results. Simon?
Simon Moore: Thank you, Seifi. Now please turn to Slide 20. Energy costs in Europe began the quarter moderating but then moved up significantly and were the highest yet in March. Natural gas costs peaked in January more than 7x higher than a year ago while power costs stayed almost 4x higher. As Melissa mentioned, our on-site business has contractual pass-through of the higher costs, so we are not directly impacted by higher natural gas prices. Higher power costs are also passed through in our ASU on-site business. In our merchant business, our team implemented significant price actions, which more than covered the higher power costs this quarter. In fact, we recovered this quarter’s higher our costs and about half of the unrecovered costs from Q1. Again, a great job by the team. However, we remain vigilant and are working to drive further improvement. Now please turn to Slide 21 for a review of our Europe results. Compared to the prior year, sales were up 32%. Energy cost pass-through, which increases sales but not profits accounted for more than two-thirds of the sales increase. Price increased 14% for the region, which translates to 22% for the merchant business. Prices were higher across all major product lines and separate agents. Volume was up 2% on higher merchant volumes. EBITDA was down 3% as favorable price net of variable costs and better equity affiliate income were more than offset by negative currency, unfavorable volume mix and higher other costs. For the quarter, the supply chain disruptions caused by the significant energy cost increases persistent, negatively impacting both plants operating and distribution efficiencies. We also saw higher costs due to inflation while we continue to prepare for new projects coming on stream. EBITDA margin was 950 basis points lower, most of the decline about 700 basis points was due to the significant energy pass-through increase. The remainder was mostly driven by higher costs and negative volume mix, partially offset by strong merchant pricing and higher equity income. Compared to the prior quarter, price was up 5%, further improved from the already strong performance last quarter, which allowed us to more than offset the higher energy costs. This equates to an 8% increase on the merchant business. Volume was 7% lower due to reduced hydrogen demand on customer-specific operating actions. EBITDA jumped 17% sequentially, and EBITDA margin improved 380 basis points as strong price higher equity affiliate income and lower non-energy-related costs more than compensated for the lower volume. Now I would like to turn the call over to Dr. Serhan for a brief discussion of our other segments.
Samir Serhan: Thank you, Simon. Now please turn to Slide 22 for a review of our Americas results. Sales increased 12% versus last year. Volume and price together were up 11%. Our team in the Americas also did an excellent job raising prices to cover the higher energy costs this quarter. Prices improved in all key product lines over the last year and were also up sequentially. The 5% price gain for the region compared to last year is equivalent to a 12% increase in our merchant business. Price, net of variable costs was also positive for the region. Volume grew 6%, primarily due to hydrogen recovery and better merchant demands. In general, we see hydrogen demand pre-COVID levels. Although hydro volumes this quarter were impacted by the planned outages. We expect the third quarter to continue at a high level of planned outages then expect volume to fully recover as we move into 2023. Meanwhile, our merchant volume was weaker in South America due to lower demand for medical oxygen as COVID cases declined. The decreased demand for medical gases also reduced Americas equity affiliate income. As we expected, the planned maintenance increased costs this quarter. Costs were also unfavorable primarily due to inflation and supply chain-related challenges, including driver shortages that are broadly impacting the industry. Operating income improved as positive price and volume more than covered unfavorable mix and higher costs. EBITDA was flat as it was impacted by lower equity affiliate income. EBITDA margin was 460 basis points lower than the previous year due to higher costs, negative volume mix and reduced equity affiliate income, which were partially offset by better price. Sequentially, volume this quarter was lower due to planned maintenance outages. Operating income was up primarily due to strong price but was partially offset by higher maintenance costs. EBITDA was down additionally impacted by lower equity affiliate income. Now please turn to Slide 23, our Middle East and India segment, which includes our businesses in the Middle East, including the Jazan joint venture in India. Sales and operating income in this segment are modest since our Middle East and India wholly owned operations are smaller in size. However, the segment’s EBITDA significantly includes stake with the affiliate income related to the Jazan joint venture and our India joint venture, NAX AB. The $55 million increase in equity affiliate income included our share of the Jazan joint venture net profit for the full quarter that Melissa previously discussed. I’m pleased to report that the team successfully started up a number of gasifier and steam carbon units, and the rest of the Phase 1 start-up is continuing as planned. Sequentially, equity affiliate income was lower due to the positive non-recurring items in quarter one related to the finalization of our previous Jazan ASU joint ventures. Now please turn to Slide 24, which addresses our corporate segment. This segment includes our sale of equipment businesses as well as our centrally managed functions and corporate costs. Over the past few years, our non-LNG sale of equipment businesses have grown considerably and are now reasonably – responsible for most of the sales and the profit increases this quarter. Our LNG project activities remained robust and also contributed to these increases. As expected, inquiries for potential LNG projects have increased significantly. But since our customers’ major projects take time to develop, it will be some time until this interest translates into new projects. At this point, I would like to return the call back over to Seifi to provide his closing comments. Seifi?
Seifi Ghasemi: Thank you, Dr. Serhan. Although the consequences of the conflict in Ukraine are far from clear, the evolving situation has once again brought the critical issue of energy independence and national security to the forefront, emphasizing the critical nature of the energy transition, their air products has highly valued technologies, skills and experience that will benefit our customers and countries around the world. Gasification allows countries to utilize their own resources in an environmentally friendly way, reducing their imports of fuel and chemicals. Meanwhile, renewable energy, including green hydrogen and fuse drive from sustainable organic resources, including renewable diesel and sustainable aviation fuel, will allow countries to reduce their reliance on faster fuels. Furthermore, the desire for diversified energy supply will also encourage additional LNG projects in the future, a positive development for Air Products as we are the leading technology and equipment provider for these large LNG projects. Air Products’ strategy and competencies are allowing us to be a leader in the energy transition. Our industry-leading gasification technologies are suitable for various types of feeder stocks, which can create net-zero hydrogen. The NEOM Green Hydrogen project is the largest project of its kind in the world. Our LNG heat exchanges, which convert natural gas to liquid are an integral part to all LNG projects. The sustainable aviation fuel to be produced in our new facility in California is a direct drop in replacement for conventional jet fuel. It can significantly reduce carbon footprint of the aviation industry without any equipment modification. The focus on energy security and energy transition is creating significant new project opportunities now and in the future. Therefore, we firmly believe that investing in high-return projects rather than share buyback is the right way forward to support the energy transition and continued profitable growth for Air Products and an appropriate return for our investors. Now please turn to Slide #25. I remain highly confident of Air Products’ resilient business model, our strategy and our execution. However, I do have some concerns about the economic backdrop, driven by continued COVID challenges, the impact of supply chain constraints, inflation and energy costs. Even with these challenges, for quarter three fiscal year 2022, our opening per share guidance is $2.55 to $2.65, up 10% to 15% over last year and almost $0.20 higher than last quarter. For fiscal year 2022, our earnings per share guidance remains unchanged at $10.20 to $10.40, which is 13% to 15% better than last year. We continue to see our CapEx in ‘22 to be around $4.5 billion to $5 billion, including the approximately $1.5 billion previously invested for Phase 1 of the Jazan project. At this point, I’d like you to turn to Slide #26. The drive for energy security and transition to a more sustainable future are not mutually exclusive. The world needs cleaner, lower carbon forms of energy and more divest sources of energy. We believe our strategy directly addresses these needs. As we drive toward the clean energy world, the talent and dedication of our people are the key to making this vision a reality. We need, unfortunately, have talented and dedicated people to help us accelerate the progress. As I always say, our long-term competitive advantage is the commitment and motivation of our people. Their hard work and contribution will ensure our success. So at this point, I would like to end my comments, and we will be very delighted to answer questions. Operator, we are ready for questions.
Operator: Thank you.  Our first question will come from Vincent Andrews with Morgan Stanley. Your line is open. Please go ahead.
Vincent Andrews: Thank you and good morning, Seifi, how are you? 
Seifi Ghasemi: Hi, good, Vincent. Great to hear from you.
Vincent Andrews: Okay, thank you. I’m wondering if you could just talk a little bit more to start off with about the volume decline in Europe and how much of that was related to sort of customer financial conditions versus maintenance or anything else and sort of how you’re seeing the European operating environment in general, just given obviously the inflation for the consumer and for corporates and some of the other macro challenges?
Seifi Ghasemi: Sure. Our volume decline in Europe in our  business but specifically related to one specific customer who decided to kind of change the feedstock for their gasifiers because of the high natural gas prices. But overall, we do see a small decline. I think we said that our volumes in Europe sequentially are down about 2%. That is obviously the effect of the very high energy prices. And there were those high energy prices is affecting demand. But it is not dramatic and it is not a significant cause of concern, but it is a cause of – but it is a reality that we have to deal.
Vincent Andrews: Okay, thank you. And as a follow-up, the other costs that you called out from the investments, obviously, easy to understand what you’re doing there. But could you help us understand whether those costs have now sort of plateaued on a sort of year-over-year basis, such that we will begin to lap them and they won’t be come in incremental issue? Or do you think there is going to be more investment coming in future quarters?
Seifi Ghasemi: Well, obviously,  our costs every penny. But that cost increases, for example, in Europe are related to the fact that we are building the infrastructure that we need to build in order to bring our green ammonia into Europe, crack it and supply green energy to Europe. So it is early days but we have started that process. And that requires people and the expenditure and buying properties and renting equipment and trying to do engineering and all of that, because that is – they need to get ready because by 2026, ‘27, they need to bring in the green ammonia and sell it to our customers, and the customers expect us to start building the infrastructure. And then around the world, we are starting up new plants and all of that. So those costs are very focused and necessary for us to maintain the growth. We’ve been software related it, as you see right now, our costs are a little bit higher than they should be. But in the overall scheme of things, they would be more than justified as we move forward. But I don’t expect to see a significant uptick on those costs, if that is where you are going Vincent.
Vincent Andrews: That’s exactly what I wanted to know. Thank you very much Seifi. I will pass it on.
Seifi Ghasemi: Yes. Thank you.
Operator: Our next question comes from Kevin McCarthy of Vertical Research Partners. Your line is open. Please go ahead.
Cory Murphy: This is Cory on for Kevin. In the context of Asia, why has the pricing in Asia lagged? And can you help us understand maybe the pricing in the region? And then for the volume, it declined modestly on a sequential basis. How much of that was related to Lunar New Year versus COVID? And have you seen any impact thus far in the current quarter as it relates to COVID impact on volume?
Seifi Ghasemi: Fine. With respect to pricing, the reason that the prices haven’t gone up so much in Asia is because there is no significant energy inflation in Asia that justifies us going to the customers and increasing prices. So that is the fundamental dynamics. The decrease in volumes are mainly due to Lunar New Year. But starting in March, the restrictions that the Chinese government has put in clients on are beginning to have some effect. And as we are in this current quarter, we do see more impact because of the COVID restrictions. It is almost impossible to predict what would be the effect because it depends on how much they relaxed restrictions or actually increased it depending on the progress of COVID. So we are watching that situation very carefully because it can swing back and forth in a significant way.
Cory Murphy: Understood.
Seifi Ghasemi: Okay, Cory?
Cory Murphy: Yes, that’s great and a quick follow-up. In the context of rising interest rates, I’m curious how you think about capital deployment going forward and the need for potentially higher ROIC on future projects? Thank you.
Seifi Ghasemi: Rising interest rates, if we need to raise new capital, obviously, we have to pay more interest on that. But right now, currently, we have a lot of cash, and we are not in the market to do that. Was that your point or did I miss that?
Cory Murphy: I guess I meant more broadly, sort of structurally as you think about the 10% returns that you generally target, would you raise that target and how would you think about the project you take on? Thank you.
Seifi Ghasemi: No, but now that I understand your question completely, of course, we do. I mean, if we are going to bid on a new project or consider a new project, we will consider it in the view of bodies across our capital. Obviously, the cost of capital has gone up as interest goes up.
Cory Murphy: Okay, thank you.
Seifi Ghasemi: Thank you.
Operator: Our next question comes from David Begleiter at Deutsche Bank. Your line is open. Please go ahead.
Unidentified Analyst: Hi, good morning. This is Anthony  on for Dave Begleiter. Would you expect earnings in Europe to be up year-over-year in the second half? And then in regards to Asia, do you think merchant pricing is slowing there? It was up just, I believe, 3% year-over-year?
Seifi Ghasemi: Well, I think, first of all, if I may ask your second question first. Merchant pricing in the second half in Asia depends very much on what the energy costs are and all of that. If we see energy costs going up, that our costs are going up, we certainly will increase the prices to recover that, and I hope that our performance in the last two quarters demonstrates that we do have the ability to increase prices if energy costs go up. As Melissa mentioned, we have increased prices in Europe, 22% versus last year, significant pricing power when it is justified. So, we will do that. As far as whether our earnings in the second half of the year, for Europe will be higher than before, I don’t want to make a forward predictions like that. But from the guidance that we have given you for the quarter and for the year, you can conclude that we are not expecting any decline. We expect that we will do fine versus last year. That’s why – that’s the only way we can meet our forecast.
Unidentified Analyst: Okay. Thank you. And yes, just maybe as one more follow-up here. Is the entire increase in the Middle East and India equity income of – I think it was $55 million. Is it all from Jazan?
Seifi Ghasemi: Most of it is from Jazan, our joint venture operations in India is doing very well, too. But most of that is from Jazan. Dr. Serhan, do you want to make any comment on that?
Samir Serhan: Yes. Definitely, Jazan is the main driver for the results in the second quarter. But again, when it comes to our joint venture, 50-50 INOX AP in India, that’s also doing very well. We are currently basically executing around 20 new plants for India. They are basically the number one industrial gas company in India, and they are on a significant growth. So, we anticipate in the future that we are going to get more contribution from that.
Unidentified Analyst: Great. Thank you.
Seifi Ghasemi: Sure.
Operator: Our next question comes from Mike Leithead of Barclays. Your line is open. Please go ahead.
Mike Leithead: Great. Thanks. Good morning.
Seifi Ghasemi: Good morning.
Mike Leithead: First I wanted to ask on your Slide 11 on the 2023 projects, I appreciate we are still a bit early in ‘22, but I think you have got over $2 billion of projects starting up there. So, could you maybe just help level set roughly how we should think about the EPS contribution in ‘23? I know Jazan should be immediately accretive upon close, other projects might need to ramp, just roughly how we should net that all together here?
Seifi Ghasemi: Well, I think we have laid it out for you because we say that every dollar that we spend should get us $0.10 in operating income. And then you know our tax rate and all of that. So, the projects that we have, we have given you the capital, not – all of them are not going to come on stream at the beginning of ‘23, but you can make a good guess about how much contribution those projects will make to our bottom line and it is not small.
Mike Leithead: Okay. Great. And then maybe just secondly, on the SAF projects, I think there has obviously been tremendous customer interest for sustainable aviation fuel, as you rightly talk about. But my understanding is there is still some questions in the industry about constraints on feedstock and what that ultimately means for SAF pricing and the economics behind it. So, obviously, you are investing and backing a company growing very tremendously from, say, $4 million SAF to $250 million. So, I guess just how do you get comfortable with the questions of feedstock supply and the economics behind that?
Seifi Ghasemi: Well, because we have confidence in both energy people who have been, they are responsible for coming up with feedstock. They have been in the business of buying and providing the feedstock or the facilities for the past 20 years. That company has been around since 1999. We are very confident people and we have done our due diligence, and they feel very confident that they can get the feedstock. Everybody in the world is trying to do this thing, as you know, that’s why a company like Chevron then bought REG and all of that. Everybody is trying to convert their refineries to sustainable airline fuel because that is the fuel of the future. The great thing about sustainable aviation fuel is the fact that it’s a direct dropping. You don’t need to change the engine of the plane or anything like that. Obviously, we believe that 50 years from now, most of these planes, especially the short-haul ones will be fueled by hydrogen. But I think that in the meantime, right now, sustainable airline fuel is – SAF is the solution and everybody wants it, not only the airlines, but also companies, some of the biggest companies in the world that they want to take credit for decarbonizing their business travel. So, the demand is very high on that. We are very excited about that project.
Mike Leithead: Great. Thank you.
Seifi Ghasemi: Thank you.
Operator: We will go next to Mike Harrison at Seaport Research Partners. Your line is open. Please go ahead.
Mike Harrison: Hi. Good morning.
Seifi Ghasemi: Good morning Mike. How are you?
Mike Harrison: Doing well. Thanks Seifi. You noted the increases that you have seen in LNG inquiries, obviously, given the natural gas situation in Europe, can you give us a sense of how many of these inquiries could turn into equipment sales? And I guess, maybe how should we think about the contribution of LNG heat exchangers as we think about the next couple of years?
Seifi Ghasemi: Well, I am going to turn this question to Dr. Serhan to answer because he runs the business on a day-to-day basis. But obviously, we are not going to disclose the contribution of these projects. But Dr. Serhan mentioned that they are seeing significant additional inquiries. But I will let him make the comment. Dr. Serhan, would you like to…
Samir Serhan: Yes. Thanks Seifi. Yes. We are currently executing seven large word scale of projects right now, they are under execution. Everything is going well. And actually, and we are getting lots of pressure from our customers to supply this exchange earlier because of the demand for LNG. And I can tell you, our pipeline right now for projects is more than 15 projects that basically we are developing with our customers, and we see this is going to be coming in the future. So, we do expect very steady flow and income out of our LNG business. It’s really in a very good position.
Mike Harrison: Okay. Alright. And that’s great. And then I wanted to ask a question about the helium business. Talk a little bit about what you are seeing in that market and how much contribution that’s having to both earnings and pricing? And maybe talk a little bit about what we should expect from the helium business in the second half compared to what you are seeing now? Thank you.
Seifi Ghasemi: Mike, our helium business, it’s a business that we don’t usually talk about the details of that, but – in terms of how much contribution and all of that. It’s a great business. We are the world leader on that. The fact of the matter is that the world expected that very large projects that will produce helium, called the Amur Project in Russia, would be on stream in 2021. And that would put a lot of helium in the market. And therefore, it would have a negative price – negative effect on pricing. That was the expectation. In starting up those plants in Russia, they had one explosion in one train, and then six months later, they had an explosion in the second train. So, nothing came – no helium came out of Russia in 2021, and nothing has come out of it in 2022 yet, but now, on top of the fact that they have to repair those units because of the damage that was done, now you have the issue of the sanctions on Russia. So, I am not sure that even when they are ready to bring that material to the market, how much of it can they bring on the market considering the sanctions. So, as a result of all of that, you would expect that the market for helium would be a little bit tight, and that is what we see. Okay?
Mike Harrison: Excellent. Thanks very much.
Seifi Ghasemi: Thank you, Mike.
Operator: We will move next to Josh Spector with UBS.
Josh Spector: Yes. Good morning. Thanks for taking my question. Just first on the guidance. I guess looking at your guide for next quarter and the full year, you are implying about a 10%-ish step-up sequentially each of the next two quarters. Wondering if you could break down the drivers there between price cost recovery, volume or anything else, particularly in light of perhaps more challenging volume outlook than you guys expected previously?
Seifi Ghasemi: Well, I am very happy that you laid it out like that because it does show that it is a pretty robust forecast, so a 10% each quarter going up. The reason that we feel confident about that is that number one, historically, if you look at our results, we delivered about 47%, 48% of our EPS in the first half and 52%, 53% of our result in the second half. Seasonally, the second half is stronger. So, that is one reason. The second reason is that we are very confident about the fact that we can deal with inflation and energy cost increases by increasing prices. So, as a result and I hope the investors get some comfort about that looking at our results, that we have that capability. And I think that is one of the most important things that I hope people notice about our results, that we have the capacity and the ability to do that. And the only reason we can do that is because our products that our customers need and our products are not a significant part of our customers’ cost. So, with the increased prices, we are not increasing the final price of the product that the customer sells to the market that much. So, we have the ability to recover that. So, therefore – and then with the volumes, we are optimistic that at least – I don’t know what’s going to happen in Asia, but we are optimistic that at least in the U.S. and in Europe, we will see some pent-up demand because of – now that the COVID is easing out, and therefore, we will see better volumes.
Josh Spector: Okay. Thanks. That’s very helpful. And I guess just a second question, just on hydrogen logistics. I guess with the Neon project, you guys announced there is $2 billion of infrastructure to be spent along with that. With SAF, you talked about some infrastructure there. The Arizona plant, I think you had some language that it could be a hydrogen hub to an extent. And you announced the Rotterdam commercial truck hydrogen hub as well. Is that part of that $2 billion being spent in some of those projects, or is that contemplated for some different applications?
Seifi Ghasemi: The $2 billion is just related to Neon. The other things that you are talking about are additional costs to that $2 billion.
Josh Spector: Okay. Thank you.
Seifi Ghasemi: Sure.
Operator: We will go next to Laurence Alexander with Jefferies. Your line is open. Please go ahead.
Dan Rizzo: Good morning. This is Dan Rizzo on for Laurence. Thank you for taking my question. Just want to think over time, what do you think is a good mix in terms of profit contribution from the vertically integrated JVs relative to on-site, merchant and packaged, how should we think about it over the long-term?
Seifi Ghasemi: May I just focus on your question to make sure that I understood it correctly?
Dan Rizzo: I just want to know how we should think about mix over the long-term from JVs, from on-site, from merchant and packages, how it should break out?
Seifi Ghasemi: Well, our JVs right now, if you add up the sales of our JVs, I think we disclosed that publicly. Simon, we do disclose it publicly, so I can mention that, right?
Simon Moore: Correct.
Seifi Ghasemi: Yes. Our sales from JVs is getting close to more than $2.5 billion. So, we see a very good growth in our JVs. Our major JVs are an excellent company that we had in Italy called Safilo . We have an outstanding company in India. And as Dr. Serhan mentioned, they are going very fast with 20 new plants under construction. And then we had a great JV in Thailand, and a significant joint venture in Mexico. Those four – and obviously, we have a JV in Taiwan that we fully consolidated. But these JVs, they are all very good companies, long established companies, and they are doing very well and because some of those economies are doing well. So, we expect those to continue to grow. And then our merchant business, right now, I think our on-site business is about 20 – about 52%, 53%, 55% of our portfolio. And we expect that with all of the big projects that we are doing, that we would end up our on-site business, if you look at it 10 years from now, it might grow to be about 60% – I mean 70% of our business. But that doesn’t mean that our merchant business is shrinking. Our merchant business should continue to grow. The percentage will come down because the whole company will become a much bigger company.
Dan Rizzo: That’s very helpful. I really appreciate that. And then just one follow-up, with the equity income, does it have the same seasonality as the rest of the company? I think you mentioned 52%, 48% for EPS. I was just wondering if the income from affiliates is relatively the same?
Seifi Ghasemi: I wouldn’t characterize it that way because those are different countries, different dynamics and all of that. But usually, the second half of the year is stronger for most people usual.
Dan Rizzo: Alright. Thank you very much.
Seifi Ghasemi: Thank you.
Operator: Next, John McNulty with BMO Capital Markets. Your line is open. Please go ahead.
John McNulty: Yes. Hi Seifi. Thanks for taking my question. So, I guess look, we understand the lockdowns in China are a little bit difficult to predict going forward. But I guess is there a way to think about how much April was down relative to, say, the first – or excuse me, your fiscal 2Q levels, just so we can kind of set a baseline and then think about how it kind of changes throughout the quarter?
Seifi Ghasemi: First of all good morning, John. John, if I start disclosing that since I know the results for the month of April, it’s kind of talking about the quarter while we are in the middle of it. But let me just in general say that April was a little bit worse than the month of March. Yes, let me put it that way. The situation compared to March hasn’t improved. I hope it does improve. But it’s totally unpredictable, John. I don’t think even the Chinese authorities know that in terms of – it just depends on the spread and number of cases of COVID, right.
John McNulty: Got it. Okay. And then just a housekeeping kind of question. So, in Slide 16, where there was kind of a breakdown of the earnings contributions. You had about $0.18 from equity affiliate income. And I am assuming the bulk of that is Jazan. But when I annualize that, it doesn’t quite get to that kind of $0.80 to $0.85 contribution that Jazan is supposed to be giving. So, am I missing something on this, or does they have kind of another kind of step up when we think about moving from fiscal 2Q to fiscal 3Q that we should be thinking about or whether there is a start-up issue or what have you, like, I guess how would you characterize that?
Seifi Ghasemi: I will give Melissa to think about this thing before I turn it over to her to answer the specific question. But with respect to Jazan, there is no step-up. I mean what you saw in the second quarter is a pretty good – is a representation of what that will do every quarter until the Phase 2 comes on stream. So, now if you are taking the contribution that we have had and annualizing, they can say that where is the $0.88, I think we should get to that. I think Melissa mentioned that it will get to that. But Melissa, would you like to make any comments on this?
Melissa Schaeffer: Yes. So, thank you, Seifi. Just to be clear, that $0.18 that you are saying there is versus prior year, right, So yes, you have to take the – that is a portion of the prior year. But to be clear, if you are analyzing the IGCC, it’s around $0.22 for this quarter. But we did have some headwinds in other joint ventures, specifically our Mexican joint venture has some headwind because of reduced sales from COVID lockdown medical oxygen.
John McNulty: Got it. Okay. That makes sense. Thanks for the color. I appreciate it.
Melissa Schaeffer: Yes. Absolutely.
Operator: We will next to Chris Parkinson with Mizuho. Your line is open. Please go ahead.
Unidentified Analyst: Hi. Good morning. This is Kieran on for Chris.
Seifi Ghasemi: Hi.
Unidentified Analyst: I was just wondering if you can speak a little bit about your current, let’s say, traditional on-site project backlog. You seem to be getting some benefits in Asia throughout this quarter. But how should we think about contributions from that business in the balance of the year and maybe into ‘23? And maybe more of a long-term picture, are you seeing an uptick in opportunities, I guess particularly in terms of energy or chemical or electronics end markets? Thank you.
Seifi Ghasemi: Sure. We are doing very well in that regard. We are getting projects which are more than our so-called traditional share of the market. We are very successful in the electronic industry. As you saw on the projects that we have announced and there are some projects that we haven’t announced. And in the other things like oxygen plants and nitrogen generators and so on, we certainly are winning our share of the market. So, if you look at the industrial gases business worldwide and look at our market share, which is about, I think, 14%, 15%, 17% depending – you look at it, we certainly are winning more than that in terms of the so-called traditional hydrogen generator, oxygen generators and electronic high-purity nitrogen generators. We are doing fine there, and we are very pleased with that.
Unidentified Analyst: Great. And then maybe just a really quick follow-up in terms of the Americas logistics challenges. I think you mentioned trucking being a bit of a drag in terms of the quarter. Any thoughts in terms of that improving, whether it’s just preliminary thoughts into what you have seen throughout April and May, or just your thoughts into the back half of the year would be helpful. Thank you.
Seifi Ghasemi: Sure. I mean our challenge in the United States is that you know that we are obviously a very big trucking company because we have all of these trucks developing – delivering product to our customers. I don’t mind telling you that we right now have had in the last quarter about 150 positions open for truck drivers that we cannot get. So, despite that, we are delivering product to our customers and so on. But you know what that means, that means that our costs increased. Number one, we have to offer a lot more to hire drivers. And number two, people have to work significant amounts of overtime in order to compensate for the shortage of the drivers that we have. So, that is creating an issue for us, but that has been with us in the last two quarters. And the effect of that on our bottom line is included in the second quarter. So, in the next few quarters, I don’t think the situation will get worse. But I think we owe it to describe what the challenges are.
Unidentified Analyst: Great. Thank you very much.
Seifi Ghasemi: Sure.
Operator: We will go next to Steve Byrne with Bank of America. Your line is open Steve. Please go ahead.
Unidentified Analyst: Hi. This is Rob Hoffman for Steve Byrne. My first question is regarding the first SAF project, does World Energy have any long-term contracts for SAF? And if so, oil pricing needs to be competitive with conventional aviation fuel. And then will the hydrogen plant be a POX or ACR technology rather than an SMR so as to enable CO2 capture if required in the future?
Seifi Ghasemi: Okay. Number one, I will answer your second part of the question. The hydrogen plants that we have supplying this thing now when it comes on the screen, will be the regular SMRs. But in the future, we can put CO2 capture on those, but capturing CO2 in Southern California, you have a challenge of what do you do with it. Our plan in the long-term, in the long-term, is to try to supply that facility with green hydrogen, which we can bring to Los Angeles from our different plants making green hydrogen and use our pipeline to deliver that. So, that is how we would super de-carbonize. In terms of the price, competitive pricing, as you know, the new cell sustainable airline fuel to an airline, you charge them a certain amount, but then there is the incentives, the low LCFS, low carbon fuel subsidies that people get. So, theoretically you can sell me a gallon of sustainable aviation fuel for $5 or $6, which is the price that you pay for the conventional thing. But then one can get about $3 to $4 or sometimes more than that, depending on the carbon intensity as a subsidy, which is – it’s a tradable commodity right now. So, as a result, the end result will be as if you are selling it for $9 or $10 a gallon these days. So, that is going. Therefore, it is very competitive.
Unidentified Analyst: Got it. Thank you. A quick follow-up, just what was the source of hydrogen recovery in the Americas? And is there more opportunity for this?
Seifi Ghasemi: The source of hydrogen recovery is basically the fact that the refineries are running harder because the demand for gasoline has gone up.
Unidentified Analyst: Got it. Okay. Thank you, Seifi.
Seifi Ghasemi: Thank you. Yes.
Operator: And with no other questions holding, I will turn the conference back for any additional or closing comments.
Seifi Ghasemi: Well, thank you very much. I would like to take a moment and thank everybody for their participation in our call. We appreciate your good questions and we look forward to talking to you in about three months about our third quarter results. In the meantime, stay safe and have a wonderful day. Thank you very much.
Operator: Ladies and gentlemen that will conclude today’s call. We thank you for your participation. You may disconnect at this time.